Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Black Diamond's financial results for the first quarter, ended March 31, 2013. Joining us today are Black Diamond's President and CEO, Mr. Peter Metcalf; and the company's interim CFO and Vice President of Finance, Mr. Aaron Kuehne. Following their remarks, we'll open the call for your questions. Before we go further, I would like to take a moment to read the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Please note that during this conference call, the company may use words such as appears, anticipates, believes, plans, expects, intends, future and similar expressions, which constitute forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are made based on the company's expectations and beliefs concerning future events impacting the company and therefore, involve a number of risks and uncertainties. The company cautions you that forward-looking statements are not guarantees and that actual results could differ materially from those expressed or implied in the forward-looking statement. Potential risks and uncertainties that could cause actual results of operations or a financial condition of the company to differ materially from those expressed or implied by forward-looking statements used in this conference call include, but are not limited to, the overall level of consumer spending on the company's products; general economic conditions and other factors affecting consumer confidence; disruption and volatility in the global capital and credit markets; the financial strength of the company's customers and the company's ability to implement its growth strategy; the company's ability to successfully integrate and grow acquisitions; the company's exposures to product liability or product warranty claims and other loss contingencies, the stability of the company's manufacturing facilities and foreign suppliers, the company's ability to protect trademarks and other intellectual product rights; fluctuations in the price, availability and quality of raw materials and contracted products; foreign currency fluctuation; the company's ability to utilize its net operating loss carryforwards and legal, regulatory, political and economic risks in international markets. More information on potential factors that could affect the company's financial results is included from time to time in the company's public reports filed with the Securities and Exchange Commission, including the company's annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. All forward-looking statements included in this conference call are based upon information available to the company as of the date of this conference call and speak only as the date hereof. The company assumes no obligation to update any forward-looking statements to reflect events or circumstances after the date of this conference call. I would like to remind everyone that this call will be available for replay through May 20, 2013, starting at 8:00 p.m. Eastern Time tonight. A webcast replay will also be available via the link provided in today's press release, as well as available on the company's website at www.blackdiamond-inc.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of Black Diamond Inc. is strictly prohibited. Now, I would like to turn the call over to the Chief Executive Officer of Black Diamond, Mr. Peter Metcalf. Sir, please go ahead.
Peter R. Metcalf: Thank you, Michaela, and good afternoon, everyone. As you saw at the close of the market today, we issued a press release announcing our financial results for the first quarter ended March 31, 2013. For the quarter, Black Diamond grew sales 10% to a record $51 million, which is in line with our expectations for the first quarter of 2013. This double-digit sales growth is in spite of colder, snowier, late winter season that delayed some higher margin spring and summer products sales, which typically occur in the first quarter. Last year, as an example, we realized an earlier start to spring in 2012. First quarter 2013 sales comparisons are also negatively impacted by a weakening Japanese yen-U.S. dollar relationship and the anticipated transition of our Gregory business in Japan from A&F, our former Japanese distributor, to our own distribution business. We expect the real benefit of this transition to begin in the second half of 2013 with significantly better comparable sales growth. In large part, we attribute our double-digit sales growth to the quality of Black Diamond's strengthening global distribution platform, its product variety and its seasonal diversity. For the first half and full year of 2013, our guidance remains unchanged, which implies that we anticipate healthy, organic growth from our active outdoor brands in the both the second quarter and the second half of the year. We expect POC and Black Diamond apparel to be our highest growth drivers with the most positive impact in margins. As we have discussed in prior calls, relative to initial sales levels in 2013, we expect to make significant operating expense investments in growth initiatives such as apparel marketing and launch expense, as well as in POC's spring 2014 road collection. We also remain enthusiastic about our 2013 apparel launch, which is expected to be in stores this fall. Before I comment further, I'd like to turn the call over to our interim CFO and Vice President of Finance, Aaron Kuehne, who will take us through some details of our financial results for the first quarter. Following Aaron's remarks, I'll return to discuss some additional insights and open the call for your questions. Aaron?
Aaron Kuehne: Thanks, Peter, and good afternoon, everyone. Our total sales in the first quarter of 2013 increased 10% to $51 million compared to $46.4 million during the same year-ago quarter. The increase is largely attributed to the addition of POC and PIEPS, which were both acquired in the second half of 2012. Our sales growth was partially offset by the expected comparative decline in Gregory's Japanese business due to the transition from A&F that Peter just mentioned. The foreign exchange markets continue to experience volatility, and Black Diamond operates across multiple currencies, primarily the U.S. dollar, the Euro, the yen and Swiss franc. Due to the weakening of foreign currencies against the U.S. dollar, we experienced a decrease in sales of approximately 30 basis points during the first quarter. On a constant dollar basis, which excludes the foreign currency impacts at POC, PIEPS and BD Japan, sales increased approximately 10.3% for the quarter. If you look at Gregory Japan, however, during the first quarter, the U.S. dollar strengthened more than 20% against the yen, and this has had a negative impact on both sales and gross margin for our new Gregory distribution business. Said differently, we sell product in yen and convert those yen back to U.S. dollars at what is now an approximately 20% discount to our December 31 estimates. Gross margin in the first quarter of 2013 was 37.7% compared to 40.1% in the same period last year. The 240-basis-point decline was primarily due to a higher percentage of lower margin winter season product mix and a higher level of closeout and promotional activity on winter seasonal inventory as a result of the slow start to the 2012, 2013 winter season. While this has had a positive impact on our overall winter inventory levels, it had a negative impact on first quarter gross margins. You may recall that during the during first quarter of 2012, we reported 19% sales growth and higher-than-anticipated gross margin due to the early arrival of spring and sooner-than-anticipated sales of higher margin spring and summer product. This year, we are confident that we will move more spring and summer product in the second quarter, which has been our historical experience. The strengthening U.S. dollar-yen relationship also had a negative impact on gross margin. In addition, during the first quarter, we began the commercial manufacturing of several new products with substantial ramp-up costs including skis, the Camalot CX4 and the another version of the award-winning Magnetron carabiner. SG&A expenses in the first quarter of 2013 increased 52% to $20.9 million compared to the same quarter last year, primarily due to the inclusion of SG&A at POC, PIEPS and BD Japan, as well as continued investment towards our most important strategic initiatives, such as apparel and our global infrastructure to support both current and future growth. Now turning to our balance sheet. We had $4.1 million of cash at March 31, 2013, compared to $5.1 million at the end of 2012. Non-cash working capital increased approximately $1.7 million to $74.9 million. Total inventory decreased to $55.1 million from $60.7 million at December 31, 2012. As we discussed on our Q4 earnings call, North America was yet again impacted by an unseasonably warm and dry start to the winter season, which left us with modestly higher winter seasonal inventory. While we moved through a significant portion in the first quarter as the late winter arrived, we continue to hold certain types of big ticket winter merchandise but do not expect it to have a material impact on our business in the remainder of 2013. Much of this merchandise is in line inventory and is expected to carry over into next season. We are actively moving discontinued models now and expect to have cleaned up the vast majority of this inventory position prior to the start of the fall 2013 season. Although it has taken time and will continue to take time, we believe the health of our inventory is improving and the various internal initiatives implemented throughout the organization are beginning to manifest themselves more prominently. We expect to continue managing our working capital throughout 2013 and still anticipate seeing both accounts receivable and inventory increase, albeit at a lower rate than our expected sales growth for 2013. At March 31, 2013, we had $13.4 million outstanding on our $30 million revolving credit line with Zions Bank compared to $20 million at December 31, 2012. Total debt, both long and short term, stood at $41.5 million, which includes $16.2 million of 5% subordinated notes due in 2017. As we outlined in our last conference call on March 11 of 2013 during Q1, we entered into an amended and restated loan agreement with Zions Bank, increasing our commitment by $20 million to $55 million and extends the maturity of our line of credit to March of 2016. We remain very pleased with our long-term partnership with Zions Bank and believe that there is still room to grow. This completes the financial portion of our presentation. Now, I'll turn the call back over to Peter.
Peter R. Metcalf: Thank you, Aaron. As I said in my opening remarks, we generated double-digit sales growth in what remains a volatile consumer and reactive wholesale environment. Most of the world where Black Diamond does business experienced an extended late winter, especially compared to the same quarter last year where the lack of winter conditions kicked off the spring/summer business earlier than expected. In fact, Q1 last year was record-setting with double-digit sales growth for Black Diamond Equipment and Gregory. Although this prolonged winter helped clear our retail inventory channels, it impacted our top line sales because the first quarter is typically not strong for winter gear sales with the exception of ASAPs. The prolonged winter also impacted our gross margins due to product mix variances, as well as promotional activities for our winter gear in North America and Europe. While we still have more discounted merchandise, we do not expect for it to have this level of impact in the remainder of 2013. In addition, we experienced a significant year-over-year decline in Gregory's Japanese business in Q1 due to the expected transition from A&F. You will recall, we acquired the Japanese distribution assets of Gregory from A&F and on January 1, we began to assume all of its sales, marketing and distribution functions in Japan. However, during the quarter, A&F still had inventory moving through channels and we experienced a sales disruption, which we anticipated and had integrated into our internal budget. Purely for your perspective, Gregory Japan accounted for approximately 10% of our sales in the first quarter of 2012. Despite this level of volatility, Black Diamond continues to compete well at retail, which we attribute to our global operating platform and innovative products. In fact, within some of our major retailers, we continue to outperform most of the categories in which we compete. We continue to see Black Diamond's growth exceeding the overall growth rate of an already healthy outdoor equipment industry, and we remain confident in our ability to capture additional market share throughout 2013 and beyond. Our direct-to-consumer business recorded another quarter of solid double-digit growth and we continue to be pleased with our team's execution in this channel. We are tracking to launch our new website before the end of the second quarter. As we've mentioned, one of Black Diamond's greatest competitive advantages is our seasonal sales balance and our product strength across 33 related categories. We believe this asset, along with the operational and marketing investments we plan to continue making in 2013, will allow our brand awareness and market share to expand globally. While we have more limited visibility into POC and PIEPS due to their relatively large dependence on ASAP sales and weather conditions, we are optimistic about our outlook due their brand momentum and innovative product offering. We are also dealing with a global retail marketplace that is more reticent to make order commitments on the scale they have in the past, and we are evaluating and adjusting to this behavior. During Q1, we launched our fall 2013 preseason sales program and are very encouraged by the overall results. Most categories are in line with the market historical booking rates and a few categories are reflective of an evolving industry strategy among the largest dealers to modestly shift to more ASAP versus preseason-weighted approach to buying. Taken as a whole, we still feel comfortable with our growth expectations through the first half of 2013 and the full year. POC is gearing up for an impressive launch of its new spring 2014 collection that takes them into the road category. This is the cycling's largest and most vibrant niche, and POC's expansion into this has been part of its well-thought-out growth strategy over half a dozen years. This is being developed from all perspectives as far more than just a line extension. This is a material strategic objective that carries with it the opportunity for major growth and continued brand ascendancy. Thus far, we are performing in line with our integration schedule for both POC and PIEPS. We made solid progress at both the European operations of PIEPS and POC relative to supply chain, IT and finance. We expect the benefit of these integrations to manifest themselves into higher margins in 2014 as these organizations begin to sell direct to retail in both North America and Europe to some of Black Diamond's existing distribution channels and by utilizing our existing North American and European operating platform. Last and by no means least, our global apparel initiative remains well on track and we are looking forward to its expected consumer launch this September. Fall inventory is arriving in our warehouse and the consumer marketing campaign is nearly finalized. We have just completed a significant round of new hires in product design, management and development, and we look forward to announcing them to our investors in the trade when and as appropriate. In addition, we recently finalized the spring 2014 apparel collection and gave our key North American and European retailers a sneak peek. We continue to be very encouraged with their reception. What is especially gratifying is that fall '13 is now sold out and spring, which represents our entrance into the outdoor-inspired lifestyle sportswear, is being well-received by the trade. The category has challenged and repelled quite a few established fall/winter outdoor apparel brands, so the initial enthusiastic reception is especially gratifying. The tight spring '14 collection consists of approximately 40 styles and 150 SKUs with a primary focus on summer alpinism and modern cragware We are employing both high-tech synthetic, cotton and merino blend fabrics for a line of sportswear that will look as sharp on the deck of the brew pub as it will perform on a mountain crag or summer peak bag. To conclude our remarks this afternoon, I want to reiterate the following: first, our first quarter was in line with line expectations at slightly lower average gross margins due to product mix, closeout and promotion activities and a weakening yen-U.S. dollar relationship; two, our first half and full year sales expectations remain unchanged, with first half sales expected to be between $90 million and $95 million and full year 2013 sales expected to be between $216 million and $221 million. These ranges imply very significant year-over-year growth of between 22% and 38% for the second quarter and between 23% and 26% for the full year. For 2014, we continue to manage towards an expected 20% sales increase with accelerating profitability. Thirdly, 2013 is expected to be an investment year, primarily in the organic growth of our brand and apparel but also in the integration of POC and PIEPS. And fourthly, we remain enthusiastic about 2013 as the consumer launch year for apparel and the trade launch year for POC's road collection. We look forward to 2014 as the year we expect continued double-digit organic sales growth and the benefit of scale, integration and operating leverage in our business. Thank you. And at this time, I'd like to open up the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Sean Naughton from Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: You talked a little bit about the impact of a later spring weather and also some Gregory sales in Japan as a little bit of an impact. Is it possible to put some numbers on that behind how much those impacts hurt you in Q1? And then maybe just give us an idea about the visibility you have to hit the first half sales guidance or the visibility that you have into that, that you're reiterating here today, in that $90 million to $95 million?
Peter R. Metcalf: Sean, this is Peter. I'll start it off and let Aaron add to this. But if I understand your question, it is what was the impact in the first quarter on the various brands.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Just the delayed shipments in the quarter and then also the Gregory sales.
Peter R. Metcalf: Yes, okay. We don't -- I'm sorry to say this but for competitive reasons, we're not going to break out each of the brands and how they do. However, what I can share with you is that for the first quarter, we're obviously impressed and we certainly were impressed with how POC did in the first quarter, delivering its first spring goods and continuing to sell-through with winter products. And the rest of the brands did perform as we had anticipated that they would. When it comes now to the second quarter, and let me add one more thing and that is there is no question that we were, like much of the industry, buffeted by what was unseasonably cold weather, a late winter and the lack of any sign of spring in Europe in our primary markets of Europe and North America. So after a winter became very late, dealers are somewhat skittish about taking in inventory when they don't absolutely need it. And so we saw some retailers certainly not ASAP-ing and some pushing back scheduled delivery dates or cutting up those orders to take smaller amounts of that. When it comes to our visibility, looking forward now in this second quarter, I think the reason we have the confidence we do in giving the guidance that we do, which is to say we're sticking with our guidance is we have very good bookings for Gregory and Black Diamond. PIEPS is certainly not a player in the second quarter by any means and POC has pretty solid bookings as well, though it is a more ASAP-dependent business but that's just the nature of cycling. But looking at the brand momentum that it has, the brand momentum that POC had coming out of winter, and I'm sure you've seen those numbers, the market share ascendancy that POC had, we have a fairly high level of confidence in our ability to perform within the range of the guidance that we have given out.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay. And then I guess just on the last call, you talked a little bit about the European market as relatively stable as much as it can be at this point in time, and that retail inventory positions look pretty clean over there. How would you characterize kind of the order book and how that came together really, for fall of this year and holiday?
Peter R. Metcalf: Are you speaking specifically of Europe?
Sean P. Naughton - Piper Jaffray Companies, Research Division: Yes, just in the European market, that's correct.
Peter R. Metcalf: Yes. We were really quite impressed with all our brands and how well they did perform in Europe. The fact that it was a late winter there and a robust late winter, and what I mean by that, here in North America where we're speaking, it was just cold and late but it never really materialized into a great winter. Europe, as I'm sure you're aware, had a -- ended up having a very strong late winter. As a matter of fact, I just got an email from one of our sales people in the Dolomites out of Ortisei, Val Gardena, he said that in his lifetime, he can't remember this much snow in the mountains at this point in time, that the season ended brilliantly. The result of that was a lot of inventory was cleared out at Europe. Retailers were able to sell a reasonable amount of that, actually at a reasonable margin because people are still skiing. There's late ski holidays in Europe that we don't have here. And as a result, our order book for Black Diamond, for Gregory, for POC and PIEPS has continued to build right up through this week. And at this point, I think it's fair to say that we have quite a high level of confidence in those bookings, how they firmed up and how they relate to the guidance that we're giving.
Operator: Our next question comes from the line of Camilo Lyon from Cannacord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: I wanted to just follow-up on what happened in the first quarter with respect to some of these delayed shipments. Did you experience any cancellations for spring deliveries or is it just a deferral of that product that should start to flow through here in Q2?
Peter R. Metcalf: Fundamentally, we've gotten some delays. I don't think we had any meaningful cancellations at this point in time.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay, great to hear. And then just on the inventory, I would have expected, with the longer-lasting colder weather, that the inventory position would have been a little bit more in line with the sales growth. Maybe you can just talk about the puts and takes on inventory, were there some other shifts in the inventory position that masks some of the other parts of your inventory position and I guess this refers to more what you're carrying over -- what you did carryover for the winter fourth quarter, that I would have presumed would have sold in the first quarter.
Aaron Kuehne: Yes, this is Aaron. Our inventory levels actually came in fairly well with where we anticipated being. They did decrease from the $60 million to $55 million which is a pretty good decrease for us during Q1. And as we look out into the future, as mentioned, inventory levels will continue to follow the historical seasonal trends and will increase, but at a lower sales rate. And so when we look at inventory, we do believe that we are increasing the overall health of our inventory position and that you'll see relative levels of inventory decrease.
Camilo R. Lyon - Canaccord Genuity, Research Division: Did this Q1 inventory include receipts for the apparel?
Peter R. Metcalf: No, not in Q1.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. And then just with regards to the full year guidance, I think last quarter, you talked about a 40% to 41% gross margin. Is there any change to that outlook?
Peter R. Metcalf: No. We are sticking with that guidance of 40% to 41% gross margins. I should add though, let me add to that, that is exclusive of exchange rate fluctuations which we just can't anticipate what they could be or not be. But separate from exchange rate fluctuations, we are sticking with our 40% to 41% guidance on our gross margins for the year. If you look at our product mixes, first quarter for the reasons that I think we've already shared in this call, we're challenged. But as you go forward now, we're moving into the second quarter with a summer product line that has -- or does have -- has had traditionally, a higher margin. Instead of margins attached to those, we'll have less DM [ph] and promotional issues to deal with. And then as we go to the second half of the year, we also get the benefit of higher margins on apparel, there will be less closeouts, and we have POC and PIEPS, which those are big seasons for both of those companies and they do have higher margins as well.
Camilo R. Lyon - Canaccord Genuity, Research Division: And correct me if I'm wrong but Gregory should also be a higher margin contribution in the back half as well, right?
Peter R. Metcalf: Absolutely. With Japan coming on, yes, that is part of the calculation.
Camilo R. Lyon - Canaccord Genuity, Research Division: And then just for clarification purposes on Q1, could you guys quantify the gross margin puts and takes? Yen impact, Gregory impact, I think that'd be helpful to just decipher what those shifts were within the quarter, what the impacts were within the quarter that presumably won't -- or lessen or will continue to be as it may be with currency and the other parts?
Aaron Kuehne: Yes, so when you look at Q1's gross margin, it was 37.7% and last year it was 40.1%. So that gives you a good -- a pretty good contrast as to a highly balanced or a more heavily weighted lower margin winter seasonal product quarter versus a more spring/summer weighted quarter. And based off of what we saw with the discounts, with the closeouts and just the overall product mix, that's what was driving the lower gross margins.
Camilo R. Lyon - Canaccord Genuity, Research Division: So maybe asked another way, if we exclude -- how about just the yen impact? How much was the currency impact? It does seem to have been -- that's certainly something that I don't think was anticipated but seemed to have caused pretty significant disruptions. Is there any way to isolate what that gross margin impact was?
Aaron Kuehne: Yes, we were -- as it relates to the yen, we do hedge a certain portion of our yen exposures as we do with all foreign currency exposures. But you're looking at about a 30- to 40-basis point impact related to gross margin just due to the yen.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay, that's helpful. So the biggest bucket still remains by and large the clearance activity that happened?
Peter R. Metcalf: There is no question that there was a significant amount of winter DM [ph] product that we wanted to clear out. The fact that it stayed cold and snowy, retailers were moving it. It was the perfect opportunity to move it.
Operator: Our next question comes from Joseph Altobello with Oppenheimer & Co.
Unknown Analyst: This is Christina [ph] in for Joe. I was just wondering if you could give us an update on your CFO search.
Peter R. Metcalf: Christina, this is Peter, and I'd be glad to do that. So first off, I want everyone here on this call to know that we will make a public announcement when appropriate. But as you know, we have contracted with Egon Zehnder to do a nationwide search. They're diligently working on it and we are interviewing candidates. I think the most important message that I want to communicate to the investor and analyst community here on this call today is that we don't have a void here at Black Diamond, we haven't skipped a beat. Aaron Kuehne is acting as the interim CFO. He has been a very strong and capable VP of Finance and he leads a very strong global team. As a matter of fact, even at the end of the first quarter, when it was clear we had some margin erosion because of the sell-off of DM and promo product, it was Aaron who quickly organized the global team to make sure that we aligned expenses with the slight reduction in margin. And I also want to add that Black Diamond has a very active and financially sophisticated Board of Directors that includes our Executive Chairman Warren Kanders; our Executive Vice Chairman, Rob Schiller; as well as Mike Henning who's a former senior managing partner at ENY; Phil Duff, former CFO of Morgan Stanley. And they're very aware of the financial strategy. They input on it and they monitor it. So we're in good stead here but it was the proper thing for this board to engage in a very significant search with Robert's departure, of which Aaron is one of those candidates.
Operator: And our next question comes from the line of Sean McGowan from Needham.
Sean P. McGowan - Needham & Company, LLC, Research Division: I had a couple of questions. One, I think you made it clear, Peter, that the sales in the quarter met your expectations. Would you say the same in the aggregate for your gross margins or was that in fact, less than you had expect for the quarter?
Peter R. Metcalf: Yes, the sales did meet, in aggregate, our expectations; expenses, we held nicely as per expectations and then some; and gross margins were a bit below our expectation.
Sean P. McGowan - Needham & Company, LLC, Research Division: When do you think we should expect to see the Japanese business kind of back to -- well, put it this way, not reflecting the shift in distribution? Is that second quarter or third quarter, fourth quarter?
Peter R. Metcalf: When you asked that, you're referring to sales -- I mean, you're not talking about the FX, right?
Sean P. McGowan - Needham & Company, LLC, Research Division: No, I'm referring to the quarterly amount in distribution shift.
Peter R. Metcalf: Yes, it's the second half of the year, we are very -- I mean, we're very confident and this is what our internal numbers show and what we're counting on is a return to normalcy after the DM that was cleared up by the former distributors cleared through and were established there. So that's what we're showing and we are quite confident in that.
Sean P. McGowan - Needham & Company, LLC, Research Division: When last year, in the end of winter, I guess 11/12, we saw some decent -- a pretty good first quarter but there was some inventory left that really came around, I think, to bite you later in the year. So given the comments that you made about weather in the first quarter of this year, do you expect that same kind of thing where you kind of get through it and it's okay but there's still some inventory left and we wind up hearing about it next year or do you think it would be taken care of fairly soon?
Peter R. Metcalf: So just to answer your question completely, the challenge of 11/12 was there was some benefits to it, too. It was a challenging winter because it was -- it never materialized but the fact that it never materialized and spring showed up in January meant we jumped very quickly to spring. So the benefit to that was as you saw in the numbers last spring was the first quarter was up 16% strong margins but it was a really inappropriate time to be moving any winter inventory in a non-winter mode. The benefit that we had from this year, to a certain extent, in Europe and here, was a much better opportunity to move it and that's what we have done and as I said earlier in this call, we moved a material amount of it, it's not everything. We will continue to move some in this quarter and next and to the end of the year, but we feel that by the end of this year, it will be in a very nice position. We feel that the next 3 quarters, it's a very manageable amount and we are going into the next winter with a higher level of confidence about the inventory and what's left of old inventory than a year ago coming into this year.
Sean P. McGowan - Needham & Company, LLC, Research Division: It sounds like that's certainly the case for winter merchandise but do you feel like there's any risk of spring merchandise hanging over and what's getting to this point next year or a couple months earlier than this point next year and not be able to move through because of inventory clog or you don't think that's going to happen?
Peter R. Metcalf: One of Black Diamond's strengths is that -- and I include all our brands in this, is that the amount of seasonal inventory we have is, I think you know, is pretty modest. Meaning, most of the product line carries through for a number of years. Not everything, I mean, you have to continue to cycle but it is it like a lot of apparel lines where you are turning the majority of it. So we're not overly concerned but, yes, we are watching that and we are managing the inventory more tightly today than we have in the past just because we don't want to be caught with any kind of meaningful DM bulge in the system I think some of this, we are managing it more tightly, we're watching it. It is a product season that just generates less DM than winter because more of it carries through for a number of years. And then I think the -- probably the third thing to say is it's very early still to make a comment overall on how the spring is going to be. It seems to be warming up in a lot of parts of the country, retailers seem to be excited, there's good innovative products in the line. We continue to be guardedly optimistic that the season's going to kick in as it has year after year after year and that we're going to have a reasonable season and as I shared earlier when asked, we have solid bookings. Some of those were pushed into this a little bit later into the second quarter but we do have them and that's another reason for our guarded optimism.
Sean P. McGowan - Needham & Company, LLC, Research Division: A couple of other questions. So, to the point, you must have some visibility on how apparel shipments are going to go. Can you give us some picture of where we're going to see the bulk of those shipments this year. Is it going to be in the fourth quarter or kind of split between the third and the fourth?
Peter R. Metcalf: Yes, the parallel, as I mentioned, is still in the warehouse. We have promised retailers we would ship it to them complete by September 1. And what we are considering right now is to -- most likely is to go ahead and ship it mid-August, a large bulk of it because they want it and they're excited about it. So that would be that a significant amount of this apparel would be then shipping in August, September with a much less amount in the fourth quarter.
Sean P. McGowan - Needham & Company, LLC, Research Division: And last question. I know you can't predict currency, certainly at the beginning of the year but are your -- sticking to your guidance regarding gross margin, regarding sales, is that predicated on a return of FX rates back to where you had thought at the beginning of the year or is that based on where we are right now, like based on what we have right now, would you still make the same comments about guidance?
Peter R. Metcalf: I'm going to turn that one over to Aaron. He studied this very carefully to comment on.
Aaron Kuehne: We are still standing by our full year revenue guidance and gross margin guidance as of right now.
Sean P. McGowan - Needham & Company, LLC, Research Division: And those assumptions are based on what for foreign exchange? Where we are today or some other rate different from where we are today?
Aaron Kuehne: More of where we ended March 31 and where we are as of today.
Operator: And our next question comes from the line of Andrew Burns from D.A. Davidson.
Andrew Burns - D.A. Davidson & Co., Research Division: I had a question on POC and the entry into the road category. Could you talk about -- these are new points of distribution outside of the normal mountain bike specialty shops. Can you talk about how quickly POC can grow in that channel and what kind of investments and sales force and infrastructure are required to get in a bigger way into this new category?
Peter R. Metcalf: Yes, I don't think I'm going to break it down in specific dollars but what I will share with you is that, yes, they are different channels, not completely as you know. But, yes, we want POC to be in the leading bike shops, that are leaders in road like here Salt Lake, it would be like Contender or Millcreek. And you have that throughout Europe and elsewhere where we want POC to be. POC hired recently, a new wheel sales manager, a Canadian with a lifetime of experience in the cycling industry, Peter Appleton, who's onboard, working very diligently. He's been on board since really, I think December. He moved over to Europe in January and is really the architect with the global sales manager Lewis in architecting this but they are laying out -- I do want to reveal it all now because we're going to do this formally, the strategy of what shops we want to be in. We certainly want to be in the world's leading bike shops to launch this that are roads shops, racing shops and we will be there. We are looking for some new sales agents and reps. We are also in the process of doing a major overhaul in various markets of distributors to agents or to reps, evaluating and that sort of thing. But I will share with you that yes, it is a significant investment in dollars, in marketing, in sales and those are in the numbers that the pro forma numbers in guidance that we're currently giving is a significant step up in marketing dollars, sales dollars this year just to get this launch right.
Andrew Burns - D.A. Davidson & Co., Research Division: And then a question on the Outerwear category. It's been brutal for the last 2 seasons now. It sounds like it really didn't impact your initial launch but we hear increasingly from specialty retailers that want to place in smaller outerwear buys potentially to try to do at-once orders if possible in the season. Has this -- have these last 2 seasons changed your either long-term planning for the apparel business or how you expect the business to grow given the recent 2 seasons?
Peter R. Metcalf: So first off, Andrew, I mean, we're very, very aware of the challenge that has been out there with 2 tough back-to-back winters for the apparel industry in the outdoor space. That said, we continue to get solid feedback from our retail partners that it is in part that challenge that is really making it incumbent upon them to try new lines where they can have an exclusive, where there can be some excitement and then not competing against the big boxes, the big online players, the department stores et cetera. They're very keen more than ever, to have something that differentiates them. So relative to fall '13 in the launch, there's no issues there. We're just not in part, big enough and we're exciting enough to see a problem. Likewise, for spring, the sponsor has been superb. I think for sure, we are counting on us to have to commit real effort to the full '14 which is already in the process of getting finalized in order to get the growth we want. But right now, based upon the response we're getting, the bookings that we have, we continue to believe that the numbers that we have put out there are achievable but they certainly are not give-me. They will require the continued transformation of this company globally from the world's leading outdoor gear and equipment specialty brand to one of the world's leading gear and equipment specialty brands and apparel brands. And all aspects of this business are steadily changing how we're thinking about it, the salespeople we have, how we're structuring sales groups in Europe, in North America, how we're doing it in Asia. So we're aware of the challenge, we're addressing it, we're transforming the organization and we think we're up for the challenge.
Operator: Our your next question comes from the line of Rob Young with William Smith.
Rob Young - Wm Smith & Co.: I was wondering if you can maybe just comment a little bit more broadly on the POC and PIEPS acquisitions and how they're performing. I know that it hasn't been a significant amount of time but how they're performing relative to your original expectations.
Peter R. Metcalf: Sure. I'll be glad to address that and then we can even talk a little bit about Integration if you want but let me begin by saying both POC and PIEPS continue to manifest their brand strength and solid positioning in the marketplace. POC continues to gain market share and impress us with innovative products, most notably now, the new road bike collection for spring 2014. I'm sure that you look at some of the SIA data and just the leapfrogging that POC did in both goggles and especially, helmets in this past winter, and they have been a tough marketplace but POC moved up dramatically in market share positions in both of those. And as I think you are aware that at ISPO and SIA, POC launched some amazing and truly innovative new products, especially in racing helmets that will probably change the FIS requirement and standard because of it, 3 new goggles that are just knockouts, the new body armor to go with that. So that momentum, combined with this road bike launch, the response to the mountain bike and time trial collection that was launched last year, we continue to be very excited by POC and where it can go and where it is going and I should add to that, that the integrations are continuing to go as planned. And then with PIEPS, the belief in PIEPS is being affirmed that it was and is a leader but because of a very limited distribution sales and marketing, it held #1 market share in Germany and Austria but was barely measurable in any other place because they had made no investments. We're doing conversions in North America and in selected European markets. PIEPS launched at ISPO and at OR with us because we are putting it through the BD channels. A set of new beacons that were very well received. We have some new price points that are very attractive. So the response we're getting to that is very positive but with this -- with peaks, because it is a winter product line and by the time we close it in October, it couldn't really impact anything it was doing in winter '12, '13. So the proof is in the pudding, which is fall '13 into January, February '14 and we're very optimistic on that.
Rob Young - Wm Smith & Co.: Okay. And are you able to attract any new hires with those 2 acquisitions? Are you seeing any material attrition going on as a result of those transactions at all?
Peter R. Metcalf: Are you talking specifically within POC and PIEPS?
Rob Young - Wm Smith & Co.: Yes.
Peter R. Metcalf: So as you know, our strategy is an integration strategy. So all the outwardly facing components of the brand, we consider that, using a biological term, its own vibrant ecosystem and we want a group of people there who are 24/7, absolutely committed to that brand, designing the world's most innovative and most beautiful product. The marketing, knockout marketing, solid sales, et cetera. And so for both POC and PIEPS, those -- in most cases, that has remained and in POC, we've actually added a few people in that area and then conversely, the back room operational areas we have lost some people but not because they left on their own, we've had to request that they leave in a very gracious and respectful manner because we're integrating and part of the plan here is number one, the key goal was to provide an incredibly verdant, vibrant and powerful platform in the wherewithal for these 2 brands and 2 companies to grow globally, far quicker than they could on their own. And in a small part but not an insignificant was to also integrate the back rooms to get rid of those folks and systems we no longer needed and integrate them onto the BD Inc. global platform. So we're continuing to do that at a steady rate and we have let people go, as I said, in a very appropriate and proper way. So the numbers are shrinking but we have not lost anyone at any of those 2 companies that we had not asked to leave.
Rob Young - Wm Smith & Co.: And then one quick one from a modeling perspective. Once you get through 2013 and 2014, kind of the higher OpEx investment periods and you move into 2015 and I know that it's a little ways away but is there any way that you can help us out on terms of what level of kind of a maintenance operating expense growth line should look like maybe relative to sales?
Peter R. Metcalf: For POC or PIEPS or for the BD Inc.?
Rob Young - Wm Smith & Co.: No, more just company in general, total company in general.
Peter R. Metcalf: I'm going to have to pass that on to Aaron.
Aaron Kuehne: Yes. So in thinking about 2015 and beyond, we've given quite a bit of guidance related to our cost structure for '13 and also the incremental $10 million to $12 million for '14. And when we think about '15 and beyond, once again, we are looking to have our profitability accelerate where we're looking at EBIT or operating income margins of low double digits into the outer years. And so hopefully, that can give you some direction as to think about your modeling in terms of OpEx and that growth or what would be required.
Operator: [Operator Instructions] And your next question comes from the line of Lee Giordano from Imperial Capital.
Lee J. Giordano - Imperial Capital, LLC, Research Division: Can you talk a little more about new product innovation, how some of your new products are performing and if there's anything you're particularly excited about coming up over the next 6 to 12 months, particularly in the climb and in the ski category and also maybe at Gregory as well, if you could touch on that?
Peter R. Metcalf: So you want me to talk about innovation. So yes, I mean, all of our brands have been defined by innovation. As a matter of fact, they define innovation in the industry, that's what makes these brands so iconic and they've been doing it for most of their lives. So when it comes to ski, well certainly, Black Diamond launched a very innovative line of high-profile new products at the winter trade shows, a brand new ski line made at our own ski factory, new constructions, new designs, very well received. We launched the FMX, a very high-performance free tour ski boot that got great receptions. New line of poles, we launched with PIEPS a new line of -- 2 additional transceivers in niches that we had not been competing in. We launched quite a few new gloves and mittens that were very well received as well. On the POC side, as I mentioned a moment ago, POC launched the next-generation ski racing helmet, which is what put POC on the map by redefining safety, bringing a higher level of protection to ski racers and that is why every ski racer and child ski racer around the world likes to wear POC for the higher level of protection, as well as just the beauty of the product. And at ISPO, POC launched the next-generation of ski racing helmets. We believe the FIS may actually make that design and that design innovation standard here in a few years. We believe that would be very well -- do very well. And then as I mentioned a moment ago, a new line of beautiful European made goggles, new body armor using some new materials that no one else has been using for a higher level of flexibility and protection. On the Gregory side of the equation, Gregory launched at the trade shows its first real winter line of product which was a very shrewd, strategic move because the Gregory line had been much more of a spring/summer line and this brought buyers in Europe and in North America and Asia into the booth to place orders versus just ASAP-ing. So that worked well. So that's really what transpired with those brands. Coming into the spring trade shows, all of the brands are doing unique launches. PIEPS has got an upgrade to the Global Finder, Gregory has a very beautiful collection of upgraded and new packs which you just have to come to the trade show in August, we'll have a day for analysts for you to come see this. BD has an array of new climbing products that I think are very exciting and will continue to help drive our business. And then for POC, it's the road collection that is really, really exciting because I said it's not just some new innovations, it's not line extensions, it's not replacement product that is innovative, it's really a strategic objective to move into the largest, most vibrant, fastest-growing segment in road riding. And then as we look into coming seasons, we're not yet talking about what those innovations are but I will assure you that in all of our companies, we have a really inspired, passionate, world-class group of designers and engineers working on a next-generation product in all categories and we're working out several years at any one time. So that's one thing I can say about BD, Inc. and our brands is that I don't think we'll ever let our consumer or retailers down relative to the level of excitement and anticipation they have to come twice a year to the trade shows and see how we're going to surprise them, bring excitement to the shop floor and bring customers into their establishments.
Operator: Thank you. And at this time, I'm showing no further questions in my queue. This concludes our question-and-answer session, and then I would turn the conference back over to Mr. Metcalf for closing comments.
Peter R. Metcalf: Okay, Michaela, thanks. In conclusion, I'd just say that Q1 is no better a representation as to why we managed our company in 2 6-month seasons. This quarter's results were in line with our expectations and we continue to expect compounded annual revenue growth from existing categories consistent with our 5-year growth plan. We see new categories such as apparel and organic growth of our strategic acquisitions is additive and in the long term could be larger than our base business today. I look forward to speaking with all of you soon again. Thank you.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.